Operator: Greetings. Welcome to the Evolus Second Quarter 2022 Earnings Call. At this time, our participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to your host, David Erickson, Vice President of Investor Relations. You may begin.
David Erickson: Thank you, operator and welcome to everyone joining us on today's call. With me today are David Moatazedi, President and Chief Executive Officer; and Rui Avelar, Chief Medical Officer and Head of R&D. Our prepared remarks today will include forward-looking statements within the meaning of United States securities laws, and management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current assumptions and expectations of future events and trends, which may affect the company's business, strategy, operations or financial performance. A detailed discussion of the risks and uncertainties that the company faces is contained in its annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Actual results may differ materially from those expressed in or implied by the forward-looking statements. The company undertakes no obligation to update or review any estimate, projection or forward-looking statement. Additionally, today's discussion will include non-GAAP financial measures, which should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release, which was furnished with our Form 8-K filed today with the SEC and on our Investor Relations website at evolus.com. Lastly, following the conclusion of today's call, a replay will be available on our website at evolus.com. And with that, I'll turn the call over to David.
David Moatazedi: We are pleased to share with you our results for the second quarter of 2022, which reflected above market growth, increased market share and disciplined operating expense management. Sales grew to a record $37.2 million and our lead sales and marketing metrics demonstrated growing brand awareness and continued strong adoption of Jeuveau. During the quarter, we continued to carefully manage our overhead expenses, investing the majority of incremental spending in activities to support sustained growth in the U.S. and establish our presence in Europe. And we remain in a strong cash position funded to beyond profitability. We expect 2022 to be another strong year of growth for Evolus, even in an environment with greater macroeconomic headwinds. Based on our year-to-date performance and our confidence in a resilient and fundamentally strong aesthetic neurotoxin market, we continue to believe we can achieve the upper end of our full year sales guidance range of $143 million to $150 million. This equates to a year-over-year growth rate approaching 50%. Now, I'll get into some of the details. In the second quarter, we grew total sales 42% year-over-year in an aesthetics market that continues to demonstrate strong demand. Our U.S. sales growth rate was at least double the estimated market growth rate. New account growth during the quarter was again very strong, and we added nearly 590 new customers bringing our account base to more than 8,100 with a reorder rate that continues to run above 70%. This expanding customer base creates a pipeline for future growth. Because our experience shows that new customers typically start out with small orders, then over time as they gain confidence with the product and our unique co-branded marketing benefits, we see our market share expand steadily. Supporting this observation is Guidepoint Qsight aesthetics data that provides analysis from point-of-sale across more than 800 practices. This data shows that over the last 12 months Jeuveau has reached the number one or number two toxin share position within practices that have adopted our product. And while our customer base has expanded rapidly to over 8,100 accounts, we are still only selling to less than one-third of the aesthetic neurotoxin customers in the U.S. This combined with a greatly under penetrated toxin market leaves room for significant opportunity in the coming years. We are continuing to see excitement for our co-branded streaming TV advertising, which is available to our largest customers. Customers earned these ads by committing a large portion of their toxin business to Jeuveau. During the second quarter, we completed production on a large bullets of these ads, which have recently begun airing. In the second quarter, we ran a total of 750 digital billboard and streaming TV marketing campaign that generated more than 250 million media impressions. These ads serve the dual purpose of promoting our customer's businesses while continuing to build the Jeuveau brand. We have now completed eight consecutive quarters of advertising through our co-branded media program, and accumulative effect of that advertising is driving brand awareness. In fact, among a representative panel of aesthetics consumers, aided awareness of Jeuveau has now reached number two in the market, ahead of both DYSPORT and XEOMIN. And this recognition has occurred in just three short years since we first launched. Jeuveau brand awareness is also continuing to drive patients into practices for treatment. Membership in our Evolus Rewards program of which the largest demographic is millennials and younger grew to nearly 390,000 by the end of the quarter, up from 335,000 last quarter. Through the first half of the year, approximately 180,000 rewards have been redeemed compared to 100,000 for the first half of 2021. This puts us on track to nearly double the number of redemptions over last year, illustrating the power of this program to motivate consumers and their loyalty to Jeuveau. Now, we know there's a great deal of interest in how the current economic environment might affect the growth trajectory of the toxic market and the behavior of a set of consumers. So, I'd like to take a moment to discuss some of the trends we are seeing. As you know, we stay very closely connected with our customers, because we're not just selling them a product, but we're engaging in long-term relationships designed to help them grow their practices. And we have very good visibility into the engagement of consumers enrolled into our loyalty program. In the second quarter, we did not observe signs of slowing as measured by purchasing patterns across our customer base or consumer engagement in our loyalty program. Third-party data that tracks overall procedural volumes suggested a slight slowdown in growth compared to the first quarter, but still trending in line with historical averages. Since the end of the second quarter growth trends have remained strong, and we have not seen any meaningful change in customer purchasing patterns. Additionally, our customers are not reporting any material differences in patient volumes or spending habits when it comes to neurotoxin products. We continue to believe the fundamentals of the toxic market are strong and that the low penetration rate we see today will continue to increase over time. We are also encouraged by the overall resilience of the aesthetic neurotoxin market, which is demonstrated positive annual growth over 15 years. Even during the last recessionary period of 2007 through 2009, the only exception to this was in 2020, when practices were closed due to COVID. Neurotoxins are one of the most affordable aesthetic procedures. And if faced with the choice, patients are more likely to stretch out the interval between treatments than to stop getting them all together. All of this gives us confidence that Evolus can grow at a faster pace than the toxin market and continue to gain share by leveraging our unique business model, focused on the cash pay aesthetic market and targeting the millennial consumer, using our cost-effective digital platform. Building on our momentum. Several weeks ago we launched Switch Your Tox and Love Evolus Forever, our largest promotional campaign to date. The Switch program is a strategic investment designed to sustain our growth and drive further market share gains in 2023 and beyond. Switch is designed to simply increase Jeuveau usage by injectors and their patients. Customers who purchase a minimum amount of Jeuveau by the end of the third quarter will receive 60 reward certificates in the amount of $160 per new Jeuveau consumer to be used over two consecutive treatments. This reward represents a meaningful patient discount over competitors incentive programs, and we think it will be quite attractive to new consumers. The rollout of this program has just begun. And while early feedback has been quite positive, the results of Switch will unfold over the next several quarters as customers sign up and customers come in for their two treatments. Now turning to Europe. Beginning this quarter, we will begin the launch of Nuceiva initially to customers in Great Britain and Germany, which are the two largest markets in that region and represent nearly 40% of the European market. Our early efforts will focus on introducing our company and our product at local aesthetic meetings. And initial sales are expected to be expected to be modest as we build our presence. Longer term, we expect Nuceiva to be an important contributor to our growth as we expand to additional European countries, as well as Australia in 2023. And now, I'll turn the call over to Rui Avelar for a brief update. Rui?
Rui Avelar: Thank you, David. If you follow Evolus for any length of time, we're acutely focused on millennial consumers. They're digitally savvy. They consider aesthetic medicine to be part of everyday life and are willing to spend money to prevent aging. While this demographic is the future growth driver of the aesthetic toxin market interestingly, there's very little published on millennials in the medical literature. In June, Dermatological Surgery published a new post-hoc analysis on our Phase 3 trials, comparing millennial patients to non-millennials. And we believe this is the first paper on millennials in glabellar lines.  This paper was based on pool data from our three studies, totaling 737 patients. It also included some important subjective metrics, such as global aesthetic improvement and subject satisfaction. As you'd expect the average age between the two groups was different, 28 versus 58. By comparison, the baseline severity of glabellar lines at maximum frown was similar 72% severe in the millennials and 76% in the non-millennials. However, there was a difference in the number of patients with severe glabellar lines at rest, only 3% of millennials compared to 23% in the non-millennials. It's this process of aging and permanent wrinkle formation that the millennials are trying to prevent or delay. We already know that Jeuveau works well in non-millennials. And this came out clearly in the studies. When we looked at efficacy in millennials as measured by a one point or greater improvement on the glabellar line scale at maximum frown, we found that by day two 60% were already responders. And surprisingly by day seven, 14 and 30, the responder rates were 100%. At the end of the study, day 150, over 40% of millennials were responders. A similar pattern emerged when we looked at global aesthetic improvement with 100% responder rates at day seven, 14 and 30. And at the end of the study, 62% of subjects felt aesthetically that they were still improved or much improved. Finally, looking at subject satisfaction. By day two, 62% of millennials were responders and day seven, 14 and 30, 100% were responders. Even at the end of the study, day 150 or five months, subject satisfaction was still high at 79%. The safety profile did not demonstrate any differences between the two groups, and there were no serious adverse events related to the drug. So, in conclusion, we already knew that Jeuveau worked very well in non-millennials. And now we have data that shows Jeuveau works even better in millennials, our target demographic.  Lastly, just a quick update on the Phase 2 extra-strength study. We recently announced the completion of enrollment. Patient follow up is ongoing, and we remain on track to complete the trial by the first half of 2023. Back to you David.
David Moatazedi: Thanks Rui. As you've heard us say, we aspire to become a multi-product aesthetic company. And during the quarter, we took a step in that direction by investing in a future growth opportunity. We have entered into an exclusive licensing agreement with a 3D printing company with unique file materials capabilities for $2 million investment. This agreement gives us a global rights to develop their technology for aesthetic applications. Evolus will fund and work closely with their team to conduct the research, and we will be responsible for predetermined payouts when certain development and commercial milestones are reached. The combination of their technology and biomaterials capabilities and our R&D expertise could lead to novel product concepts that generate new market opportunities. While this is still early stage, we are excited about its potential, and we look forward to providing updates at appropriate intervals. Before we move to the financials, I'd like to provide an update on our CFO search. Prior to Lauren departure, we hired a very experienced interim CFO to help oversee our strong internal finance and accounting team. Having an interim CFO on board has enabled us to take our time to ensure we find the right person to build a position. Over the past several months, we've met with a number of very strong candidates, and I expect we'll be able to announce our new CFO in the very near future. With that I'll hand a call over to David Erickson to take you through the financial information.
David Erickson: Thank you, David. We're very pleased to deliver another very strong quarter. And I'd like to call your attention to several noteworthy items, including a 42% increase in net revenues, a growth rate well in excess of the estimated toxin market growth rate, a gross margin profile that will improve dramatically within the next 60 days. And this is the first quarter where we in a net positive cash position. I'll provide more detail about each of these in the next few minutes. Net revenues for the second quarter this year were $37.2 million compared to $26.1 million a year ago, which was a growth rate of 42%. Looking at just the U.S. sales, which excludes $0.7 million of international sales in the year ago period, our growth rate was 46%. Year-over-year sales were driven primarily by higher volumes and a slightly higher average selling price. Overall, the pricing environment for neurotoxin products in the U.S. remains strong. Our reported gross margin for the second quarter was 55.4%. And our adjusted gross margin, which excludes the amortization of intangibles, was 57.4%. In mid-September, our settlement royalty obligations to AbbVie will end. At the same time, our settlement royalty obligations to Medytox will decrease significantly to a mid single digit rate calculated on a global net sales. These changes are expected to dramatically lift our fourth quarter adjusted gross margin to the range of 68% to 71%. This fourth quarter step up will result in a blended full year adjusted gross margin of 58% to 61%. Reported selling, general and administrative expenses for the second quarter were $36.9 million compared to $33.4 million in the first quarter. This incremental spending was in line with our expectations and due to increased personnel costs and increased commercial activities. We are continuing to carefully manage expenses, which gives us the flexibility to direct incremental dollars toward business growth initiatives. This quarter SG&A expense included $3 million of non-cash stock based compensation. Our GAAP operating expenses for the second quarter were $58.5 million compared to $49.4 million in the first quarter. Operating expenses this quarter included the $2 million payment related to the licensing agreement David described a few moments ago, which was expensed as in process research and development. Non-GAAP operating expenses for the second quarter were $35.4 million compared to $31.0 million in the prior quarter. This sequential step up in the second quarter was expected, and we remain on track with our full year non-GAAP operating expense guidance of $135 million to $140 million. Our non-GAAP loss from operations in the second quarter was $14.1 million compared to $10.3 million reported in the first quarter. As a reminder, both non-GAAP operating expenses and non-GAAP loss of operations exclude stock-based compensation expense, revaluation of the contingent royalty obligation, depreciation and amortization, and the $2 million IPR&D charge. Turning to the balance sheet. We ended the second quarter with $84.5 million in cash compared to $106.7 million at March 31st, 2022, for a difference of $22 million. The major pieces in that $22 million include $14 million of inventory payments to support the growth of the business, a combined $6 million of net royalty payments, $2 million for the licensing agreement and interest payments of approximately $2 million. The balance was a net positive of $1.3 million as cash collected, slightly exceeded cash used to operate the business. This is the first quarter with net positive cash and keeps us on a path to achieving sustainable positive cash flow. As a reminder, we have one final $5 million settlement payment due in the first quarter of 2023, which will satisfy our total settlement milestone obligation. We continue to expect that our existing cash balance will fund our current operations through cash breakeven. As a reminder, the $50 million tranche on our Pharmakon debt facility is available and we can borrow it at any time during 2022 with no additional restrictions or covenants. This second tranche provides us with financial flexibility as we explore opportunities to expand our product portfolio. Before we turn the call back over to David, I'd like to summarize our 2022 guidance, all of which remains unchanged from last quarter. Full year sales at the upper end of $143 million to $150 million. This is based on our year-to-date performance and our confidence in a resilient and fundamentally strong aesthetic neurotoxin market. This guidance also assumes a minimal contribution from international markets. Full year adjusted gross margin between 58% and 61%, with a fourth quarter step up to 68% to 71% concurrent with a decrease in settlement royalty rates. And full year non-GAAP operating expenses between $135 million and $140 million. This is driven mainly by continued investments in the growth of Jeuveau in the U.S., plus the Nuceiva launch expenses in Europe.  Other modeling assumptions include quarterly interest expense of $2.3 million and full year weighted average shares outstanding of approximately 56 million. Back over to you, David.
David Moatazedi: Thank you, David. In conclusion, the investments we are making in 2022 to grow our company and build our brand are fueling above market growth, which puts Evolus on track for another very strong and successful year. We have earned a number one or number two share position in accounts that we support with our unique business model and increasing consumer brand awareness. While we have rapidly grown our U.S. presence since we launched our product three years ago, we have an opportunity to expand our customer base much farther. And we're on the customer broadening our geographic footprint into two of the largest markets in Europe, followed by additional European countries and Australia in 2023. On the product front, we are building a pipeline with our Phase 2 two extra-strength study and an investment in a promising new technology. Overall, we believe we have a tremendous amount of momentum in our position for continued growth and success. We greatly appreciate the support of our customers, employees, and shareholders, and we look forward to sharing our results in the quarters ahead. With that, we're ready to take questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Louise Chen with Cantor. Please proceed with your question.
Louise Chen: Hi. Congratulations on all the strong execution this quarter. And thank you for taking my questions here. David, a few for you. I wanted to ask you, what the market opportunity or your latest thinking on the market opportunity for extra-strength Jeuveau, will there be a pricing differential and how much additional sales could this add? And then I also want to ask you how you're preparing for the launch of Nuceiva in Europe. What is the market opportunity here, and how do you expect the ramp to be? I know you gave some color already, but just curious if you could provide a little bit more details there. And then, last question is any additional updates on business development opportunities to expand your product portfolio. Could we see something else this year, and how much capital do you have to deploy towards business development? Thank you.
David Moatazedi: Great. Well, good morning, Louise. Thanks for joining the call. Why don't I take the first part on the extra-strength? I'll let Rui talk about what you can expect from a clinical profile standpoint going forward. We had outlined on a prior call that, following research we did with our customer base to better understand how they would perceive the role of an extra-strength when they currently use the original strength of Jeuveau with a profile similar to what you've seen with a 40 unit dose, whether you want to look at, products under development or products in market, I think you'll find that the efficacy profile, the two are very similar. So, we tested against that profile. And what we learned is one, there's very high interest in an extra-strength dose of Jeuveau. As a matter of fact, 86% of customers that we poll here said that they were interested in it. When you dig a layer further and beyond interest, and you ask them about utility of the product, what we learned is the large majority of their use will continue to be the original strength. They see applications for extra-strength, but that will be the minority of their use. And by being in a position where we have both the original and the extra-strength with our cash pay advantage and the flexibility that provides us, we think that gives us a unique opportunity to capitalize on this market and its potential going forward. I will let Rui provide a little bit more color on what to expect clinically.
Rui Avelar: Sure. From an expectations, just to kind of base that everyone where everyone, where things are right now. If we look at competitive products, that have longer duration implications such as Dexcy [ph], we see about two -- we see somewhere between 23.5 to 24 weeks duration. That's looking at a one point glabellar line improvement. When we look at our results with 20 units, we already come in with 21 weeks duration as opposed to 40 units of Dexcy. It's also really important to consider that we did mostly severe patients and in the Dexcy, it was mostly moderate patients. So, we did a tougher population. So, from a outcomes perspective, we feel pretty confident that if we reach 24 weeks as a minimum, that we're in a very good position, especially given what you just shared, David, that most want to have access to a longer duration, but that the majority of utility would actually be the original. So, we'd be in a position to have both.
David Moatazedi: Thanks Rui. And I think I'll underline a key point Rui made. In the end we're talking about weeks of different, not months of difference. If you look at the clinical data that's been published thus far. Of course, we'll learn a lot as we get the products into market. Moving on to Europe. Look, I'm very excited about what we're building in Europe. I've spent quite a bit of time there. Rui who's sitting next to me has done the same. We've found a partner in Germany that we've now trained on the product. Their Salesforce carries a portfolio of other products in aesthetics, and they're out there now, preemptively talking about Nuceiva in Germany, which is the single largest market in Europe. And we've also hired up our own sales organization in the U.K. So, when you put those two markets together, they represent nearly 40% of the European market. So, it's an important starting point for us as we build. A couple things that excite me about it. The first is we're the first neurotoxin to enter that market just as we were in the U.S. and nearly a decade. And there's a lot of interest from the physician community. But the key difference is we now have three years of learnings from the U.S., that the team in Europe has captured by spending time here and with some of our successful sales representatives that we're translating over there in Europe. And we're starting to see early interest. That's very positive. Of course, we've said it you should expect a modest ramp mainly that's because we want to be thoughtful about one, our burn and number two, about the uptake of the product. So, we do expect minimal revenue contribution in the back half of this year from Europe. But stepping back from it, Europe is the second largest market in the globe. The market opportunity for neurotoxin is over half a billion dollars, and we expect that over time, we can build a meaningful presence in Europe with our neurotoxin. So, we're excited about the ramp. We'll update you as we get into market. I will be spending some time in Europe as well as we get prepared for that ramp, but the team's done a very nice job there of building up our capabilities in order to have a meaningful presence in those two markets as we enter. On the business development. We've -- as you know, we hired a Head of Corporate Development. The gentleman Christos Monovoukas has been with the company now approaching two quarters, and clearly he's a 100% dedicated to our corporate development function, which as we've outlined before, we're very focused in terms of our goals from a corporate development standpoint. We're interested in commercial stage assets that line up in existing durable spaces in aesthetics. And we're actively looking at assets that we feel could be enabled under our Evolus platform. And we're looking at pipeline assets that we believe could create meaningful value in this category if we develop them over time. We think we have a unique R&D capability here at aesthetic under Rui's leadership and the team with Ethan who's developed a number of technologies on the device and drug side in aesthetics. And with that those capabilities, we believe that some of those complex development programs could be unlocked. And one of those is evidenced by the deal we just announced this quarter, which will take some time. It's early stage, but it presents a meaningful opportunity for us as we unlock the value there. So, we feel great about the progress we're making on the business development front. But I'll reiterate we're very pleased with our singularity and focus. That's what's enabled us to drive the success we've had thus far. We don't feel that we're in a rush to do anything, but we are capitalized with the $50 million tranche available to us through Pharmakon, in order to put that to use, in the event that there's an opportunity that presents. So, we'll keep you updated as we make progress.
Louise Chen: Thank you.
Operator: Our next question is from Annabel Samimy with Stifel. Please proceed with your question.
Annabel Samimy: Hi. Thanks for taking my questions and congratulations on continued momentum here. So, I just want to dig into your growth strategies here. I think at some point you're talking about going deeper rather than broader. And we've seen from our own research and you've sort of confirmed right now that in the accounts that you have penetrated your number one or number two, and you've got some pretty deep penetration there. So, is the idea now that, the way that you're going to get the growth is just, again, start broadening the accounts, that you're going to start reaching? Just can you talk about a little bit about those growth strategies, and how the Evolus program is, I guess, allowing you to do that? So that's the first question. The second question I have is on the consumer side. You have a new, I guess, a consumer loyalty -- consumer program, coupon program. Is this going to change the cost of the program to you, or is it a similar type of, I guess, patient or consumer assistance program that you've offered before? And then, the third question I have is, maybe more on the dynamics of where you're getting your most traction with accounts. Is it still over indexed to the many spa and is that where you're seeing most of the couponing rather than dermatologists and plastic surgeon, who don't seem to be seeing as much impact from at least from what we've gotten that patients or consumers still are more influenced by their recommendations rather than any couponing program. So, maybe you can provide a little bit of color there. Thanks.
David Moatazedi: Great. Thanks for the questions, Annabel. I found it interesting. We were looking at the Guidepoint Qsight data, which I shared earlier as part of my opening remark. And then, just in that window of time, as we were reviewing our data, we had the opportunity to look at your research, which further validated that our -- the share that we have within existing accounts and your research at least was about four times higher than our general market share in the category. So, it validated exactly what we're seeing as well. With the one nuance being, I think your research was focused on derm and plastic versus medi spa, our business over indexes against the medi spa universe. So putting that aside, I think it was nice to see another set of data that validated what we commented on, which is what we've always believed when Jeuveau gets into a practice, it's an incredibly high quality product. And when they start utilizing the product, their confidence level rises significantly. And when you later on the co-branded media benefits, what you start to see is this brand approaches the number one market share in a lot of these practices, and it's grown significantly over the last 12 months. And it's a combination of the precision profile being better understood through a lot of medical training that we've been providing to practices, as well as the co-branded media benefits. And so, we're gaining greater confidence in our ability to expand share. And to your point, what that then leads to is, well, how do we go wider? We're in a third of practices today that are using neurotoxin. And how do we expand that footprint to continue to build against remaining two-thirds, that don't currently utilize our product and they've been using the competitive set. There's a few prongs that answer. So, let me just start with the macro view and then work down to what we're doing within the quarter. On a macro level, we've been engaging in a significant amount of medical education. When we do continuing medical education programs, we've been recruiting several thousand injectors that includes many derms and plastics, as well as non-core. We know that the noise level around Jeuveau is increasingly positive within the derm and plastic community. If you look back over the trend over the last number of quarters, so we believe we're on the right track in terms of increasing the level of interest in our brand, we still have a long way to go. The second is, our Salesforce, we've expanded slightly over the last several quarters in order to support the demand we've been receiving, but also open up capacity for us to go wider. And that team has also supplemented by an inside sales team that has also been expanded in order to support that effort of increasing our breadth. And so, we expect that to continue to deliver growth for us. And you've seen that in the results around new accounts where we've clipped up near 600 new accounts, where historically, if you look back, we are generating about 400 new customers, roughly a quarter, we've now clipped up to a new height. I expect that to continue to persist as the business continues to perform with our expanded footprint. The last one within the quarter, we're very excited about the Switch Your Tox program. It serves multiple purposes. The first is, it's designed to increase our market share within customers that are in early stages of using our product or accounts that are in some stage of considering working with Evolus. We believe it creates a tipping point type of effect. The reason we say that is because, one of the challenges we know with customers that bring on Jeuveau into their practice initially is how do I initially position this with my existing users? It's much easier, of course, to introduce a new product to new consumers coming in the practice. The challenge for new customers is introducing it to their existing customer base. And I think you see that reflected in your research. This Switch Your Tox program is designed to make it simple, to switch patients that are using existing toxins over to Jeuveau. It gives the account a crutch. It gives them the confidence that if you switch your tox, you'll love Evolus, they can speak to their own experience using our product. And it gives the consumer a financial incentive rather than earning $20 or $30 off the loyalty program for their existing toxin. They can earn $160 off of two consecutive treatments. And we know the macroeconomic environments and the back of consumer's mind, and with $160 off, that's a meaningful savings. And we're confident that once a consumer is engaged with the brand, they become a loyalist. We see that reflecting our consumer loyalty data. So, it does two things. It converts patients immediately, which will drive our market share, as we go wider and deeper within customers. But it also creates a loyalty within that practice that the practice can build on to continue to expand their customer base. That's why we believe this is not just an investment for the third quarter, but beyond, because it really does reap dividends. We've seen that reflected in our market share expansion within existing accounts over the last 12 to 18 months. This is simply a program designed to accelerate that within accounts that are in earlier stages of consideration. As you think about modeling this, from a gross margin standpoint, you should assume -- clearly, the coupons come at cost, that's a gross margin cost. But those gross margins we've provided our full year guidance, it's reflected within that guidance level. So, it won't impact how that program works, but it will be facilitated through the existing loyalty program. So, for the practice, they really don't have to do anything more than purchase product. And then, the dollars that they receive for those $160 in savings, they go directly through the same consumer loyalty program that these practices are currently using in their offices. So, it's very simple to execute for our field. It's turnkey for the consumer. They get it immediately at the point-of-sale, and we believe the simplicity of that and the frictionless approach that we've taken will facilitate a strong uptake of the program.
Annabel Samimy: Great. Thanks so much.
Operator: Our next question is from Marc Goodman with SVB. Please proceed with your question.
Marc Goodman: Yeah. Good morning. A couple questions. First of all, can you give us a sense of how you're thinking about third quarter versus second quarter traditionally in the market? Usually, it's a step down just for the market in and of itself on an absolute basis, but obviously the past couple years have been a little funky. So, if you can talk about that a little bit. Second of all, in business development, are you considering devices as well? I heard you mentioned devices and I wasn't sure whether you were considering that in the past. And then, I guess, the last question is, thinking about the growth of the market for the full year today versus how you were thinking about it three months ago. And you're thinking about next year, any different than how you were thinking about it three months ago. Thanks.
David Moatazedi: Great. Thanks for the questions Marc. On the -- first on the seasonality question, as you've mentioned the prior two years, the third quarter seasonality that we've seen historically in this category, just hasn't been present as consumers weren't traveling in the prior several years. The third quarter was far more resilient than what we've seen in the past. This quarter is a bit different. We know consumers are traveling. You see airlines are at capacity in terms of their ability to support the influx of travel here in the third quarter. And I suspect that the traditional seasonality that we've seen prior to COVID is likely back in play. And that's what we're assuming. That being said, look, we're gaining market share in this category. And so, our business may not follow the traditional seasonality, but I suspect you'll see that reflected in the numbers for the third quarter for different aesthetic manufacturers. And, of course, we don't guide on the specific quarter, but you have a sense for what we expect to do on the year. So, clearly that means we expect the third and the fourth quarter to be meaningful quarters for us in terms of the growth trend that you'll see. On the corporate development side, just to clarify, not all devices plug in the wall, like when you think about devices, facial fillers are medical device. And so, I -- to clarify, we haven't said exactly what devices we're looking at, but our -- we have not prioritized anything that plugs in the wall. But we do have the capability to develop drugs as well as class two or three devices. This team's developed those types of technologies in the past. And so, we have the latitude to do that over time, but we're going to continue to be selective against products that don't require a combination of capital and consumables, at least in the near-term, for our corporate goals. For 2023, at this point in time, we have not provided guidance. We're continuing, obviously, like you are to closely watch the market. We're really pleased with what we're seeing in terms of the resilience of the neurotoxin market. As you know, I operated in that space during the last recession and this category of toxins has been very resilient through macroeconomic headwinds. And here we have another catalyst, which is a millennial generation that's coming in at a faster rate than we had during the last recession. And I do believe that that's going to create a tailwind, even in that economic environment potentially that we could face coming forward. So we feel good about the prospects for 2023, but we'll give you an update as we get closer to the end of the year as to how we think about next year.
Marc Goodman: All right. Thanks.
Operator: Our next question is from Greg Fraser with Truist Securities. Please proceed with your question.
Greg Fraser: Hey, good morning folks. Thanks for taking the question. I want to follow-up on the comments on the growing the customer base. Do you have a target for the number of practices that you'd eventually like to have as customers? And do you anticipate having to expand the commercial team over time in a more material way than you've done in the past to help grow and service the customer base? And then on the -- the recent publication of the post-hoc analysis, I'm curious how you plan to leverage that publication to further drive Jeuveau adoption among that key segment of the market. Thank you.
David Moatazedi: Well, I let Rui take the first -- the second question and then I'll the customer base off.
Rui Avelar: Sure. So, yes, we do plan to take advantage of the millennial paper. It's it really was interesting if you try and Google search, we couldn't find a paper on millennials in glabellar lines. We could find one on forehead, but not on glabellar lines. The nice thing about that paper is that because it's a Phase 3, it's a very high quality and because it's on glabellar lines and within the study, it's completely on label. So, we can actually leverage that paper of both with the Salesforce and with a very clinically savvy medical affairs group.
David Moatazedi: Greg, thanks for the question on a customer based. A couple comments there. The first is, when we think about the customer, we think about on three dimensions. One is, of course, the traditional field based support. The second is inside sales, which runs at a fraction of the cost of the field force. And then, of course, the last one is digital and how we can automate the way that we service customers. You see that we've been adding modestly into our field based, obviously that's a much higher cost to add a sales rep into an account. And so, we closely scrutinize that expense. And we've been building capabilities that enable us to generate revenue from a digital standpoint that will continue to build. And we believe that as this -- as we continue to expand our customer base, there's a long tail in aesthetics of call it roughly 20,000 customers. And we believe through digital automation, we can be very efficient in supporting that customer group and building our business, and then sending that digital footprint into inside sales to support them as they get larger. And then, modestly continue to increase the field base over time. But we don't anticipate any significant increase in Salesforce. We like the model we've built, and we think we can accommodate our growth with this incremental approach to field base.
Greg Fraser: Thanks for the color.
Operator: Our next question is from Serge Belanger with Needham and Company. Please proceed with your question.
Serge Belanger: Hey, good morning. Just a couple questions for me. David, you highlighted the spending habits were resilient. There had been no meaningful changes so far. But curious if the staff shortages that we've seen in other -- that we see that have been pretty commonplace, have affected operations in the aesthetics and offices, and whether that could add to the seasonality that we should expect in the third quarter. And then secondly, going back to the -- a follow-up on the European launch. I'm not sure if you covered this, but maybe you can talk about the pricing dynamics. And whether there'll be any limitations to adopting some of the co-branding marketing tools that you've been using for Jeuveau in U.S. Thanks.
David Moatazedi: Thanks Serge. Starting out with spending habits and staff shortages, we experienced staff shortages in the first quarter and you saw these practices are pretty creative about how they work around that. I don't expect the third quarter to be too different. That being said, having spent some time recently in the field, look, these doctors are finally taking vacation a bit, so they are taking some time off. So that traditional seasonality that I mentioned to Marc, I think, is in play here for the third quarter, but nothing unique as it relates to COVID, that should be slowing down the market from what we see at this point in time. As far as European pricing dynamics, certainly Europe is a lower price point than the United States, and I think that's reflected in the market value. Procedural volume might be similar between the U.S. and Europe, yet the market value for toxins in Europe relative to the U.S. is about a quarter of the size. So, as a result of those pricing dynamics, clearly there's a lower ASP, and we've reflected that in terms of our investment, and the market potential that that comes from it. But we feel that those are challenges that we went into well aware of. And we feel that we can overcome those and build a meaningful business there. But over time, of course, U.S. will continue to represent a large majority of our revenue, but Europe's going to be a contributor to our growth as we go forward. Lastly, on capabilities in Europe, this is a drug, as you know. And advertising a drug is not allowed in Europe. So, some of the co-branding media that we have in the United States that will translate to Europe, but a lot of the messaging around how the product's used, the precision dynamics, the support on that level, as well as some of our digital capabilities, we've been able to carryover to Europe that creates a lot of efficiency for that team.
Serge Belanger: Thank you.
Operator: Our next question is from Douglas Tsao with H.C. Wainwright. Please proceed with your question.
Douglas Tsao: Hi, good afternoon. Good morning. Thanks for taking the questions and congrats on the results. David, I think you mentioned that in most of your accounts you've taken over the first or second position. I'm just curious, how long does it typically take from when you bring an account online to you gaining that level of penetration?
David Moatazedi: Thanks Doug for the questions. It's a great one. What we're seeing is that the time to ramp is shortening. It's shortening because the capabilities we have and also the efficiency of our reps gaining -- getting the account to gain comfort with the product. So, I couldn't give you a specific number of quarters on average, but we are seeing a faster ramp. As a matter of fact, when I look at our lead indicators on our business, our lead indicators are performing stronger than revenue. The revenue is trailing indicator to what we're seeing. And that's what gives me confidence to say that we're seeing some of these metrics moving up into the right a bit faster than we're seeing revenue doing that. And that's evidenced by the number of new accounts, the repurchasing patterns, the increasing amount that existing accounts are purchasing all of those metrics. And then finally, the lagging indicator within the leading indicator group is consumer loyalty. The number of redemptions we're seeing go through our consumer loyalty program. All of those are rising at a faster clip than what we're seeing with our revenue, which to me is an indicator that there's greater interest of Jeuveau. In the U.S., the more accounts are interested in coming in. Number two, when they get in, they are growing at a faster clip and we're seeing that represented within our existing account base, purchasing more than they were prior. And then, of course, you're seeing the influx of new customers, both injectors as well as consumers on both sides. So, it's hard to isolate it to CBM versus the field footprint and the digital. I think it's all of it, working in harmony together, that's starting to drive that growth and then you layer on a bit more scale that we've added into the back half of the year. And we feel that gives us a really strong -- gives us really strong momentum in the back half to exit the year.
Douglas Tsao: And maybe as a follow-up. David, when we think about the growth that you've experienced in the first half of this year. I mean, how much is coming from accounts that were added in 2022, or is that still something that we should look ahead to, or you should stand to benefit from in the second half of this year?
David Moatazedi: Yeah. So, new accounts contribute very little to our growth within a quarter. New accounts are really a longer term play and they contribute to our growth over time. So, I think you should think about that new account as part of what drives 20 -- later 2022 as well as 2023 revenue.
Douglas Tsao: Okay. Great. Thank you very much.
Operator: Our next question is from Uy Ear with Mizuho. Please proceed with your question.
Uy Ear: Hi, guys. Thanks for taking my question. Just have a few. I think you guys mentioned, the growth for Jeuveau this quarter was driven by higher price as well as volume. Just wondering if you can perhaps quantify, provided more color as to what percent came from volume and from price, if possible. And I guess, my second question is, I was wondering like what you are seeing in term -- in millennials spending pattern that may be similar or different from their parents that would sort of give a cushion to, I guess, growth in that segment, if there's a recession. Thanks.
David Moatazedi: Great. Thanks to the question, Uy. So, first on the price, price represents a small single digit part of the overall growth. The majority -- large majority of this is, is volume. But what's important about price is it shows the value part of our story that we've consistently been able to increase our ASP, as we've entered the market. And we've added more around the value part of the equation. And you're seeing that now consistently quarter-on-quarter, where price continues to play a role as it moves further upward. As far as the consumer segmentation, first point, we have not seen any difference among segments in terms of their continued use of Jeuveau. We've segmented our consumer loyalty program. We don't see any impact within any of the consumer segment groups. We do know that the millennial segment prioritizes experiences over other activities. And we do believe that that segment will continue to be very resilient with a high discretionary spend and high income power. With a low unemployment rate, we expect that that is going to be an important part of the long-term growth. As a matter of fact, when you look at our consumer loyalty program, almost half of patients now in our loyalty program, as its second quarter, our millennials. So, our focus from the beginning has been to build a brand around this younger generation, and you're seeing those results reflected in the utilization of our product. I do believe when we get into practices, they think of Jeuveau as the product for the next-generation. And that positioning is really taking a stronghold whether you look at it in utilities or our consumer loyalty program, or you start to see it in our advertising and then the respective brand awareness that comes from that. So, we're really pleased with that segment, and we believe that it's not just a short term place, long-term. The millennials today represent about a third of consumers in this category over the next several years, they'll represent the majority. And, of course, over time, they are the single largest consumer segment in the U.S. today, as it relates to their spending patterns. It's a very meaningful segment that provides a long-term tailwind for us as we build our brand around that category.
Uy Ear: Thanks.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to management for closing remarks.
David Erickson: Thank you, operator. If you missed any portion of this call, a replay will be posted to our website later today. Thank you for joining us. We appreciate your interest in Evolus and will be available if you have additional questions.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.